Operator: Good morning, ladies and gentlemen, and welcome to the BKTI First Quarter 2025 Earnings Call. This call is being recorded. All participants have been placed on a listen-only mode. Following management's remarks, the call will be open for questions. There is a slide presentation that accompanies today's remarks, which can be accessed via the webcast. At this time, it is my pleasure to turn the floor over to your host for today, Mr. Jen Belodeau of IMS Investor Relations. Please go ahead.
Jen Belodeau: Thank you. Good morning and welcome to our conference call to discuss BK Technologies results for first quarter 2025. On the call today, John Suzuki, Chief Executive Officer; and Scott Malmanger, Chief Financial Officer. I'll take a moment to read the Safe Harbor statement. Statements made during this conference call and presented in the presentation are not based on historical facts are forward-looking statements. Such statements include, but are not limited to, projections or statements of future goals and targets regarding the company's revenue and profits. These statements are subject to known and unknown factors and risks. The company's actual results, performance or achievements may differ materially from those expressed or implied by those forward-looking statements and some of the factors and risks that could cause or contribute to such material differences have been described in the morning's press release and BK's filings with the U.S. Securities and Exchange Commission. These statements are based on information and understandings that are believed to be accurate as of today and do not undertake any duty to update such forward-looking statements. With that out of the way, I'll turn the call over to John Suzuki, CEO of BK Technologies. Please go ahead, John.
John Suzuki: Thank you, Jen. Thank you, everyone, for joining today. I'll start by reviewing some of the highlights of our operations and financial results during the first quarter. Then, I'll turn it over to our Chief Financial Officer, Scott Malmanger, for a deeper dive into our financial results. We'll conclude by opening up the call for a brief Q&A. Our first quarter continued the momentum we built throughout last year, giving us a strong start to 2025. First quarter revenue of $19.1 million increased both year-over-year and sequentially, and we delivered significantly improved gross margin of 47%. Our ability to drive enhanced gross margin is a direct result of our ongoing shift to higher-margin product mix, our successful transition to a contract manufacturing model, and our partner EastWest manufacturing, and our ability to achieve continued operating expense reductions across the organization. We continued our path of delivering enhanced profitability, achieving net income of $2.1 million or $0.55 per diluted share in the first quarter compared to a net income of $681,000 or $0.19 per diluted share in the first quarter of 2024. Non-GAAP adjusted earnings were $2.6 million or $0.68 per diluted share in the quarter compared to $1.1 million or $0.30 per diluted share in the same period of last year. With our performance in the first quarter of 2025, we achieved our seventh consecutive quarter of profitability. And finally, backlog at March 31st, 2025, was $18.8 million compared to $19 million at the close of the first quarter in 2024. As I mentioned a moment ago, we have been intently focused on improving gross margin by delivering excellent operational execution, facilitating the shift in our product mix toward the higher-margin BKR 9000 and implementing cost reduction strategies, including the successful transition of our manufacturing operations to EastWest. Slide 4 demonstrates the steady progress we have made with these initiatives, which have resulted in our ability to report consistently improving gross margin. In 2024, our full year gross margin of 37.9% comfortably exceeded the target gross margin range of 35%. For full year 2025, we increased our target gross margin to 42% or greater. And at 47% for the first quarter, we're off to a good start. I do want to take a minute to address the uncertain macroeconomic environment. In terms of tariffs, our gross margin target for 2025 included assumptions about tariffs and their potential financial impact. And as such, we, like many other companies, are monitoring the situation closely. About 95% of our product revenue comes from finished good products that are manufactured in the U.S.A., Mexico, and Vietnam. During the first quarter, BK products produced in Mexico entered the U.S. tariff-free under USMCA and continued tariff-free during the 90-day pause period. If a trade deal with Mexico is not achieved during this pause period, we may be subject to a 25% tariff starting in the third quarter. Also, during the first quarter of 2025, our products produced in Vietnam were tariff-free, but have since been hit with a 10% tariff during the second quarter, which may rise to 46% if the trade deal is not reached with Vietnam. Less than 5% of our product revenue comes from finished good products manufactured in China. Shortly after the new 145% tariff announced on April 9th, we halted all volume shipments from China and started a transfer project to move most of the production to Taiwan by July 2025, reducing our China finished good product exposure to less than 1% of revenue. It is slightly more expensive to manufacture in Taiwan, and Taiwan is subject to the minimum 10% tariff. But economically and politically, Taiwan is more favorable than remaining in China. Our supply chain, like that of all our competitors is global with parts manufactured and assembled in numerous countries around the world. So, we're not alone in having to contend with increased supplier costs should tariffs increase further. We will, of course, be watching the tariff activity closely, especially as we near the end of the designated tariff pause on July 9th. In this uncertain landscape, we remain focused on controlling the elements of our business that we can control, most importantly, making sure that we deliver quality radios to our customers on the front lines of emergency service and law enforcement response, while also delivering profitability to our shareholders. On Slide 5, you can see how growing marketplace recognition and demand for our radios has resulted in solid revenue performance over the last several quarters. Our BKR 5000 single-band radio has maintained strong demand as our BKR 9000 multiband gains traction in the market. The multiband capabilities of the 9000 command a higher price point, and we expect to see revenue and gross margin expand comparably as the 9000 becomes a larger contributor to our overall revenues. Of note on this slide, as you can see, our first and fourth quarter revenues are historically a bit lower than the second and third quarter of any given year. This is largely because of seasonality. The second and third quarters occurred during peak wildland fire season, and the fourth quarter is largely dormant in terms of government spending because of the federal fiscal year closes on September 30th. During the first quarter of 2025, we saw continued demand for our BKR Series radios from state and local government customers. Federal orders were light in the quarter as Congress was delayed in passing the continuing resolution to fund the government through 2025. The CR was eventually signed, and we are beginning to see increased orders from federal customers. Now, I'll turn it over to Scott Malmanger, CFO, to give a more detailed overview of our first quarter financial performance. Scott?
Scott Malmanger: Thanks John. Sales for the first quarter totaled $19.1 million, an increase of 4.5% compared with $18.2 million for the same quarter last year. Sequentially, revenues increased 6.3% compared to the revenues of $17.9 million in the fourth quarter of 2024. Gross profit margin in the first quarter was 47% compared with 34.5% in the first quarter of 2024 and improved sequentially from 41.2% in the fourth quarter of 2024. Selling, general, and administrative expenses, or SG&A, for the first quarter totaled approximately $6 million compared to $5.3 million for the same quarter last year. Operating income totaled $2.9 million compared with an operating income of $983,000 in the first quarter of 2024. The company achieved net income of $2.1 million or GAAP EPS of $0.60 per basic and $0.55 per diluted share in the first quarter of 2025 compared with a net income of $681,000 or $0.19 per basic and diluted share in the prior year period. Non-GAAP adjusted earnings, which adds back net realized and unrealized gain or loss on investments, stock-based compensation expenses, non-cash income tax provisions, and severance expenses was $2.6 million or $0.74 per basic share and $0.68 per diluted share in the first quarter of 2025. This is compared with adjusted earnings of $1.1 million or $0.30 per basic and diluted share in the first quarter of 2024. We reported non-GAAP adjusted EBITDA of $3.2 million in the first quarter of 2025 compared with non-GAAP adjusted EBITDA of $1.4 million in the first quarter of 2024. Slide 7 illustrates how our success driving margin improvement has favorably impacted adjusted EBITDA and net income growth dating back to the fourth quarter of fiscal year 2023. Here, you can clearly see how our revenue shift towards the 9000 combined with our outsourced manufacturing model and our cost reduction efforts have driven steadily enhanced profitability and we expect to achieve continued profitability moving forward. Our balance sheet remains strong with approximately $8.9 million of cash and cash equivalents and no debt as of March 31st, 2025. Working capital improved to approximately $24.6 million at March 31st, 2025, compared with $23 million at December 31st, 2024. Shareholders' equity increased to $32.4 million compared with $29.8 million at December 31st, 2024. I will now turn the call back over to John.
John Suzuki: Thanks Scott. We're pleased with the strong start we've achieved in the first quarter and we remain focused on the task at hand, getting our radios into the hands of first responders and public safety personnel. The economic landscape has been uncertain and we're looking forward to receiving some clarity around the tariff situation. Regardless, we remain confident that we are well-positioned for continued long-term profitable growth. With our current visibility, we are maintaining our previously stated 2025 targets of single-digit full year revenue growth with gross margin of at least 42%. We are also holding to our 2025 full year GAAP diluted EPS target to be in excess of $2.40 and 2025 full year non-GAAP diluted adjusted EPS in excess of $2.80. Please keep in mind that these targets reflect the current uncertainty around tariffs. As the tariff situation becomes clearer, there is a possibility that we will revisit and upwardly revise our EPS targets. As we move through the balance of 2025, we will continue to invest in our sales and marketing efforts to heighten the marketplace visibility of our multiband BKR 9000. The capabilities of this radio significantly expands our target verticals, providing a substantial opportunity for our continued profitable growth. Likewise, we are committed to furthering our R&D capabilities, particularly related to strengthening our BK1 offerings. Just after the close of our first quarter, we announced an order for our rebranded RelayONE portable repeater kit, which is a nice endorsement of demand for our BKONE solutions. Development of our next-generation BKR 9500 mobile radio remains on track. As we mentioned before, the BKR 9500, which is expected to launch in 2027 is designed for installation in first responder vehicles and will be marketed as the companion radio to the BKR 9000 multiband portable radio. We're excited about the opportunities we're seeing in increased marketplace presence. We're focused on capitalizing on the interest in and demand we're seeing for our BKR Series radios with a particular focus on expanding adoption of our BKR 9000 multiband radio. We believe we're well-positioned to capture new customers and address new market verticals as we pursue continued profitable growth and enhance shareholder value. With that, we can now open the call for questions. Jen?
Operator: Thank you very much. At this time, we will conducting our question-and-answer session. [Operator Instructions] Thank you. Your first question is coming from Jaeson Schmidt of Lake Street Capital. Jaeson, your line is live.
Jaeson Schmidt: Hey guys. Thanks for taking my questions and congrats on the strong results. Just looking at those Q1 results, I know you noted that Q1 tends to be seasonally weak. Do you think it was impacted by any pull-in orders into Q1?
John Suzuki: No, morning Jaeson. I had to think about that for a second. No, I don't believe so. In fact, we probably would have done a little bit better had the federal orders had followed more of historical nature where we would have seen some more orders in the first quarter. But as I mentioned on the scripted portion of the call, the federal orders were delayed in Q1 because of the continuing resolution.
Jaeson Schmidt: Got you. That's helpful. And then gross margin, obviously, really strong in Q1, understanding sort of this 10% baseline tariff goes into effect. Q2, but you also are implementing a price increase. So, just trying to reconcile all these puts and takes. I mean, from that 47% level, I assume a step back here, but where do you think gross margin sort of stabilizes here in Q2?
John Suzuki: So, good question, Jaeson. I think in our last call, I had said that we felt that we would be hit with tariffs out of Mexico, for example, in the second quarter. That hasn't materialized at least as of today. And the indication from the administration is that they're going to continue with the zero tariff policy for products coming in under USMCA for the balance of the second quarter. So, that's very positive. Given that, we definitely believe that we will be above 42%. We are experiencing some tariffs, which did hit us in Q2 from products coming in from Vietnam.
Jaeson Schmidt: Okay, perfect. And then last one for me, and I'll jump back in the queue. I know you don't want to disclose the exact amount from the BKR 9000, but just curious at a high level, if revenue was up sequentially in Q1 for that device?
John Suzuki: I'm sorry, Jaeson, I didn't understand the question.
Jaeson Schmidt: Yes. Just for the BKR 9000 device, revenue from that radio, was it up sequentially in Q1?
John Suzuki: Yes.
Jaeson Schmidt: Okay, perfect. That’s it from me. Thanks a lot guys.
John Suzuki: Thank you, Jaeson.
Operator: Thanks very much. Your next question is coming from Aaron Martin of AIGH Investment Partners. Aaron, your line is live.
Aaron Martin: Hi, good morning. Congratulations on a very strong quarter. Thanks for the reminder on the seasonality. With the late continuing resolution, do you think that affects seasonality this year? Obviously, Q1 was a higher concentration of commercial customers versus government than typical. And we're going to see the same typical seasonality or maybe just be a condensed timeline because everything for the government side has to go out in Q2, Q3. What are your thoughts around that around now?
John Suzuki: Thanks for the question, Aaron. So, what I can tell you is the continuing resolution did pass in mid-March. What I can tell you is our key customers did receive funding for the projects that we were working with them on and that they're submitting those to contract it. So, those are all positive things. We are impacted -- we are seeing some impacts from DOGE, mostly in delays and some people leaving, right? Some of our key contracts have either been terminated or accepted early retirement. So, that has created some delays in getting things put through. In terms of the timing of getting the orders processed in the environment that we're at, that's the big question mark. It's unclear to me today whether or not we will see those orders come through in the normal timeline. And as you mentioned, those orders need to be placed by September 30th, the latest or else they lose that funding. So, at this point, all I can say is.
Aaron Martin: Do you need to deliver by September 30th or those orders need to be placed by September 30th?
John Suzuki: The orders need to be placed and deliveries are negotiated. So, it could be -- we could receive all the orders on September 30th, and then we would negotiate a delivery schedule starting October 1st for those radios. So, that's kind of where we are, Aaron. Again, the funding has been approved. They're pushing projects forward. All that's positive. But this year is just different with the DOGE impact.
Aaron Martin: Got it. And then following up on Jaeson's question, nice to see the 9,000 up sequentially. Do you expect to see that as more -- as we transition towards the 9,000 throughout the year, we expect 9,000 to be sequentially up every quarter, I guess, maybe besides for Q4 with the seasonality?
John Suzuki: So, the short answer is yes. I do see that our revenue will increase on the 9,000 quarter-over-quarter. Just to put a little bit more color and perspective in it, we're expecting that the 9,000 revenue will be somewhere between 2 times or 3 times higher than what it was in 2024.
Aaron Martin: Okay, great. And for Scott, can you talk a little bit about the deferred tax asset, the uncertainty, I think you had $1.4 million long-term uncertain tax liability, which was a release of the tax asset? And how much of your taxes right now are cash taxes? And how long can that last now that we're generating significant operating income?
Scott Malmanger: Yes. We pretty much utilized most of our deferred tax assets at this point. There's always some timing differences for some of the R&D efforts and that sort of thing. So, it's not exact, but it's pretty -- we pretty much utilized what we can for the deferred tax assets. Now, we did have that uncertain tax provision, and it's got to do with some of the R&D credits and stuff that we had historically. So, that will work off in the future, and we'll see how it goes from there. But you're exactly right with the profitability that we're achieving now, we will be in a position to continue to pay taxes. And your guess is probably as good as mine, but someplace in the 20% to mid-20% range for federal and state taxes.
Aaron Martin: Got it. But so just -- I think you did $670,000 of P&L taxes this quarter. How much of that was cash? Was that basically all cash?
Scott Malmanger: Yes. A significant portion was cash. That is correct.
Aaron Martin: Okay. Thanks a lot.
Operator: Thank you very much. [Operator Instructions] Our next question is coming from Robert Van Voorhis of Vanatoc Capital. Robert, your line is live.
Robert Van Voorhis: Hey, good morning guys. Great quarter. I just had a hopefully a quick question just on SG&A. Obviously, it jumped up just as a result of the investments we're making, which are probably good things to do long-term. But I would just like to ask, what do you guys think -- where do you really want SG&A sort of over the long-term? Is it -- do you want as a percent of revenue maybe closer to what it was last year? Or do you expect it to grow as we try to get the 9,000 more in hands of the customers? Or where do we really want SG&A over time?
Scott Malmanger: That's an excellent question. Thanks for the question. The way I look at it is our SG&A costs are -- the structure is relatively fixed for the vast majority of our SG&A expenses. Now, we did indicate on the fourth quarter call that in 2025 that we're going to do some more investments in marketing initiatives, specifically about -- around the BKR product line. And then we also have the new product development. Now, we can capitalize a portion of the new product development costs for the mobile radio, but not all cost according to Generally Accepted Accounting Principles, there are certain materials and prototypes and all that kind of stuff that you can't capitalize. So, we are going to see incremental costs there. But I'd say it's going to be rather lumpy quarter-to-quarter. But in the long run, I think we're going to see operating leverage with more or less a fixed SG&A structure.
Robert Van Voorhis: Got it. And can you -- maybe this is too detailed to comment on, but what -- how much of SG&A is just related to strictly new product development? So, I know we can't capitalize all of the expenses with the 9500, but can you comment how much is just strictly being expensed on the income statement related to that?
Scott Malmanger: You can look in the Q and it provides what we've got for basically the engineering. Now, we don't break out what it is for sustainment of existing products and new product development. But yes, that's -- I would say that's probably the best source. We don't disclose any more detail than that.
Robert Van Voorhis: Okay, that’s it from me. Thanks.
Operator: Thank you very much. While we appear to have reached the end of our question-and-answer session, I will now hand back over to John for any further remarks.
John Suzuki: Thank you, Jen. Thank you all for participating in today's call. We look forward to speaking with you again when we report our second quarter results. All the best to all of you, and have a great day.
Operator: Thank you very much. This does conclude today's conference. You may disconnect your phone lines at this time and have a wonderful day. We thank you for your participation.